Operator: Good morning and welcome to the Norwegian Cruise Line Holdings first quarter 2025 earnings conference call. My name is Donna and I will be your Operator. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session and instructions for the session will follow at that time. If anyone should require assistance during the conference, please press star then zero on your touchtone phone. As a reminder to all participants, this conference is being recorded. I would now like to turn the conference over to your host, Sarah Inmon. Ms. Inmon, please proceed.
Sarah Inmon: Thank you Donna and good morning everyone. Thanks for joining us for our first quarter 2025 earnings and business update call. I’m joined today by Harry Sommer, President and CEO of Norwegian Cruise Line Holdings, and Mark Kempa, Executive Vice President and Chief Financial Officer. As a reminder, this conference call is being simultaneously webcasted on the company’s investor relations website. We will also make reference to a slide presentation during the call, which can also be found on our website. Both the conference call and presentation will be available for 30 days following the call. Before we begin, I would like to cover a few items. Our press release with the first quarter 2025 results was issued this morning and is available on our website. This call includes forward-looking statements that involve risks and uncertainties that could cause our actual results to differ materially from such statements. These statements should be considered in conjunction with the cautionary statement contained in our earnings release. Our comments may also reference non-GAAP financial measures. A reconciliation to the most directly comparable GAAP financial measure and other associated disclosures is contained in our earnings release and presentation. Unless otherwise noted, all references to 2025 net yield and adjusted net crew costs excluding fuel for Capacity Day are on a constant currency basis, and comparisons are to the same period in 2024. With that, I’d like to turn the call over to our CEO, Harry Sommer. Harry?
Harry Sommer: Thank you Sarah and good morning everyone. Welcome to our first quarter 2025 earnings call. Today I’ll begin my comments with highlights from our strong first quarter results, where we essentially met or exceeded guidance across all key metrics. While we are quite pleased with our near term results, we continue to keep our focus firmly on our longer term Charting the Course targets, so I’ll discuss a number of initiatives are undertaking to deliver long term value to our shareholders through our proven strategy of balancing return on investment, or ROI, with return on experience, or ROX. Some of the more important initiatives include the delivery of our groundbreaking new ship, Norwegian Aqua, the recently announced enhancements for Great Stirrup Cay, and multiple projects underpinning our strategic fleet optimization efforts. I’ll wrap up with an update on booking trends and how we are navigating the current environment before turning the call back over to Mark, who will provide more detailed commentary on our results and discuss our outlook for the second quarter and full year 2025. Starting on Slide 4, I’d like to highlight the strong start to the year. Our first quarter met or exceeded all key expectations we outlined in February. Most importantly, net yields increased 1.2% above our expectations, and coupled with better than expected unit costs drove adjusted EBITDA to $453 million, also above guidance. This brings our trailing 12-month margin to 35.5%, a 280 basis point improvement over last year and well on our way to our long term targets. Lastly, adjusted EPS ended the quarter at $0.07, slightly below guidance driven by a $0.05 FX headwind. Moving to Slide 5, let’s take a look at one of our key initiatives for the quarter, the delivery of Norwegian Aqua, the first ship in Norwegian Cruise Line’s new Prima Plus class. We took delivery of Aqua in March on time and on budget, continuing our track record with Fincantieri that’s now six ships in a row, all delivered as planned thanks to their team and our incredible new build organization. After her delivery, we proudly showcased her in Europe before arriving in Miami just a few weeks ago for her christening by her godfather, Emmy-award winning actor, Eric Stonestreet. Aqua is the first ship shaped by our current management team and it reflects our focus on balancing ROI and ROX. From design to amenities, each decision was made to improve the guest experience while also considering the impact on margin and return. Norwegian Aqua is 10% larger than her sister Prima Class ships and perfectly combines NCL’s one-of-a-kind service and offerings with guest-first experiences that will make new waves at sea. On Aqua, we took the strong foundation of Prima and Diva and elevated it. We redesigned or re-imagined nearly spaces, everything from the layout and flow to enhancements in our dining venues and entirely new offerings. One standout example is replacing the go-kart racetrack with the Aqua slide coaster. This innovative offering not only adds a thrilling new signature experience, it also takes up less space than the race track, freeing up room to increase stateroom capacity and add additional activities and amenities, and the Aqua slide coaster has been a huge hit, already garnering more than 270 million views across our traditional and social media platforms, a powerful early signal that Aqua is generating excitement and buzz. Norwegian Aqua is an example of what this team can accomplish when we stay true to our vision of having our guests vacation better and experience more and keep our ROI and ROX velocity at the center of our decision making. Guests are happy, and the company is optimizing its financial performance. Turning to Slide 6, I’d like to highlight the excitement new developments at Great Stirrup Cay, our private island in the Bahamas which we announced just a few weeks ago during Norwegian Aqua’s christening. As many of you know, Great Stirrup Cay is already one of our highest rated ports of call and we’re about to take the experience to the next level. Later this year, we’ll complete construction on a new pier that will allow us to dock two ships simultaneously and eliminated the need for tendering, which can be particularly challenging during the winter months. With this new infrastructure in place and increased Caribbean capacity in the years ahead, we expect to welcome more than one million guests annually to the island starting in 2026. To support that growth and elevate the overall experience, we’ve announced a series of new enhancements which will open concurrently with the new pier. These include a large resort-style pool and slope bar and cabanas, a welcome center, and a new tram system for easier access across the island. We are also bringing the popular and exclusive adult Vibe Beach Club from several of NCL’s vessels to the island while also adding Horizon Lagoon, a dedicated family zone featuring a splash pad and interactive play area. These additions are thoughtfully designed to drive higher guest satisfaction, providing facilities for new experience and opportunities for stronger overall customer spend. We’re confident these upgrades will further differentiate our Caribbean product and enhance our ability to drive incremental yield on itineraries that call on Great Stirrup Cay, but this is just the beginning. As we bring more capacity into the region, we will continue to evaluate opportunities to continue improving the island experience. I’m excited to see these plans come to life and look forward to welcoming even more guests to the island in the years ahead. In addition to enhancing the real life experiences on our vessels and island, I want to highlight a major success story that demonstrates our ability to enhance our guest experience digitally with our revamped NCL app. We completed the full rollout across the Norwegian fleet in January, retiring all legacy platforms, and the response has been tremendous. Over 800,000 guests logged in during the quarter. The app does more than provide practical tools like ship maps and folio use, which reduce onboard service lines, it also is proving to be a powerful pre-cruise revenue driver. A growing majority of our guests are logging in before their cruise, using the app to books things like shore excursions and specialty dining in advance. This provides us with consumer insights which we can use to further personalize marketing and also lifts pre-booked on-board spend, which then creates a stickier guest in our customer ecosystem. We’re incredibly excited about the progress we’re making on the digital front and confident this platform will continue to enhance both up-sell opportunities and the guest experience going forward. Turning to Slide 7, during the quarter we also made significant progress on our broader fleet management strategy, which centers on three key pillars: bringing new ships online, investing in and modernizing our existing fleet, and thoughtfully repurposing older tonnage. While we already covered Aqua’s delivery, I want to highlight the progress we have made modernizing our existing fleet. This quarter, we completed drydocks for Norwegian Bliss and Norwegian Breakaway, each introducing new guest-focused enhancements. On Breakaway, we debuted the Silver Screen Bistro, the first immersive cinema and dining experience at sea. We also expanded stateroom capacity, including in the Haven, expanded our most popular specialty restaurants, and expanded both premium and free guest experiences on both ships. These investments reflect our commitment to enhancing what matters most to our guests while continuing to focus on financial returns. Finally on the final pier of our fleet management strategy, which is thoughtful repurposing of older tonnage, we hit several important milestones during the quarter, signing agreements for two Norwegian Cruise Line vessels, Norwegian Sky and Norwegian Sun, to be chartered to Cordelia Cruises, a premium operator in India beginning in 2026 and 2026 respectively. We also reached agreements for Regent Seven Seas Navigator and Oceania’s Insignia to be chartered to Crescent Seas, a residential cruise line, also beginning in 2026 and 2027. These agreements are a clear reflection of our disciplined long term approach to fleet optimization. By transitioning these ships into markets outside our core business with established operators in their respective areas, we’re able to unlock value from these assets while remaining focused on delivering a consistent, high quality experience across the remainder of each fleet in our three brands. Importantly, these transactions allow us to simplify our operations, reduce the average age of our fleet, and drive further efficiencies all while continuing to receive cash flow from these assets under charter. Our projected capacity CAGR from 2023 and 2028 now moves from 6% to 4% after factoring in the ships’ exiting the fleet. This is a smart strategic evolution of our fleet that supports our long term financial and operational goals, and one that positions us well for the years ahead. Moving onto booking trends on Slide 8, advanced ticket sales were up 3%, as shown on Slide 9, while other key indicators such as cancellation rate and cruise next sales and on-board revenue remained steady during the quarter and in the first weeks of April. Looking at the remainder of the year, cruises for Q2 are nearly all sold and well within our final payment and cancellation window, so on-board revenue is the remaining variable, which as I mentioned continues strong. As macroeconomic uncertainty has increased, we have seen some choppiness on bookings on the remaining Q3 inventory, resulting in a headwind to occupancy where we are prioritizing price over load factor, but leaves us the potential for upside if conditions improve. By protecting price, this allows us to garner higher yields on the remaining inventory if conditions improve while also allowing us to protect price in the future. As we look into Q4, recall our Caribbean capacity is up 10% year-over-year and represents 40% of our quarterly deployment. This results in a shorter booking curve, so our booked position for the next 12 months has shifted slightly but continues to be within our optimal range and above historical averages. Looking forward, we expect our strategic expansion of more close-to-home itineraries, especially coupled with our recent Great Stirrup Cay enhancements to fundamentally improve our demand profile in the mid to long term. As a result, we see potential for pressure on our top line and are modifying our full year net yield growth outlook to be a range of 2% to 3%. This guidance recognizes the reality of the situation as it exists today and also reflects our assumption that the consumer environment stabilizes as the year progresses. While we recognize potential pressures on the top line, we are maintaining our full-year 2025 adjusted EBITDA and adjusted EPS guidance. We believe continued execution of our cost savings initiatives should essentially offset any top line headwinds. As part of our Charting the Course strategy, we have identified initiatives supporting $300 million of cost efficiencies across the organization, and we are using this as an opportunity to accelerate certain initiatives to capture benefits even sooner. This is a company-wide effort fully supported by the entire leadership team. We will continue to monitor the consumer closely, but make no mistake - we are guided by a clear strategy. We remain focused on disciplined pricing and cost control and delivering an exceptional guest experience, all while managing the business for the long term. We are committed to optimizing every dollar of revenue, controlling every dollar of cost, and delivering exceptional financial and guest performance. With that, I turn the call over to Mark to give more thoughts on our financial performance.
Mark Kempa: Thank you Harry, and good morning everyone. My commentary today will focus on our first quarter 2025 financial results, our full year outlook, and our financial position. Let me start with our first quarter results on Slide 10. We delivered solid results in the quarter, coming in at or ahead of guidance across all key metrics. As expected, occupancy was 101.5, down year-over-year due to increased drydock days and related repositioning sailings. Despite this, net yield came in ahead of guidance at 1.2%, driven by healthy net per diem growth of 4.3%. These results are indeed impressive as we are comping exceptional 13% growth in net per diem and 16% growth in net yields in the prior year. The 70 basis point outperformance in net yield was largely driven by strong results and close-in bookings in our Fun and Sun itineraries, including the Caribbean, Bahamas, Bermuda and Hawaii, and strong pre-sold and on-board spend. Turning to costs, growth in adjusted net cruise costs excluding fuel came in lower than expected, increasing 3% to $169. The beat was primarily due to the timing of certain expenses that are now expected to occur in the second quarter. Excluding the $8 impact from drydocks, unit cost growth would have been 1.2%, well below inflation and in line with our commitment to sub-inflationary cost growth. As a result, adjusted EBITDA for the quarter was $453 million, above guidance of $435 million. Adjusted net income came in at $31 million, impacted by $23 million of foreign currency losses compared to $13 million of FX gains that benefited the prior year. As a result, adjusted EPS was $0.07, which had a $0.05 impact from foreign exchange losses. Moving onto second quarter and full year guidance on Slide 11, I’ll start by noting that today is April 30, so we have strong visibility into the second quarter, particularly as all sailings are now within the cancellation window and there are just 60 days remaining in the period. I’ll start by focusing on the second quarter, where we expect occupancy to come in at approximately 103.2, which is about 2.7% below the prior year. As we discussed last quarter, this is driven in part by a 6% increase in sailings in Asia, Africa and the Pacific versus the same period in 2024. These longer itineraries typically command higher pricing but have fewer third and fourth guests per cabin, which results in slightly lower occupancy. Additionally given the challenges in the current environment we have discussed, we are prioritizing price over load factor, in line with our commitment to disciplined revenue management as we believe this will produce the best long term results. As a result, net yield for the second quarter is expected to grow approximately 2.5% driven by healthy net per diem growth of 5.2%. Turning to costs, adjusted net cruise costs excluding fuel is expected to increase 1% in the second quarter. This is primarily due to the timing of certain expenses that shifted from Q1 into Q2, along with additional costs related to the delivery and debut of Norwegian Aqua. As a result, we expect adjusted EBITDA for the second quarter to be approximately $670 million and adjusted EPS to be $0.51. Moving to our full year outlook, we expect occupancy to average 102.5%. This reflects a 3% increase in deployment in Asia, Africa and Pacific sailings compared to last year during the third quarter, as well as our continued focus on maintaining price over load factor. By prioritizing price, we believe we are setting a stronger foundation, and when demand normalizes, we should be restarting from a place of strength. Moving to net yield, as Harry mentioned, based on what we know today and assuming a stabilization in the current environment as the year progresses, we expect full year net yield growth in the range of 2% to 3%. This assumes that our pricing remains very strong, growing in the range of 4.3% to 5.4% with both metrics coming off record performance in 2024. Should we see pressure on the top line, we believe we can effectively offset this with continued execution and acceleration of our cost savings initiatives, and we are prepared to proactively accelerate additional efficiency measures. As a result, we are improving our full year adjusted net cruise costs excluding fuel guidance to a range of zero to 1.25% growth. We do not expect our costs to be meaningfully impacted by recently proposed or implemented tariffs. Our global sourcing strategies and diversified procurement practices help insulate us from potential volatility in this regard. Our disciplined approach to cost control anchored in a more efficient operating model and empowered by our transformation office reinforces our ability to protect margins and profitability even in a dynamic environment. We believe this flexibility sets us apart from others. Of course, should the macroeconomic or geopolitical environment shift materially, we will reassess and adjust our guidance as appropriate. That said, we remain confident in our long term strategy, execution and growth trajectory. Moving on, as a result of balancing challenges in the current environment combined with our robust cost efficiency program, we are maintaining our full year 2025 adjusted EBITDA guidance at $2.72 billion. Our full year adjusted EPS guidance is also unchanged at $2.05 as the reduced share count from our convertible note transaction in early April is offset by FX headwinds of $0.04. Moving to margins on Slide 12, the combination of top line growth and a more efficient cost structure continues to drive meaningful improvement. Trailing 12-month adjusted operational EBITDA margin expanded by nearly 280 basis points to 35.5% in the first quarter compared to the same quarter in 2024. For full year 2025, we continue to expect further expansion, reaching approximately 37%. As I’ve mentioned before, we believe we have a structural advantage. We’ve been building our cost efficiency capability for over 18 months now through our transformation office, and that work is already paying off. The fact that we continue to progress towards our Charting the Course margin target of 39% even in the current consumer environment underscores the strength of our execution and culture, the resilience of our business model, and our ongoing commitment to improving the balance sheet. Turning to Slide 13, I’ll walk you through our pro forma balance sheet and debt maturity profiles. As many of you know, we’ve been active on the capital markets front since quarter end. Most recently, we refinanced the majority of our 2025 exchangeable notes with new 2030 exchangeable notes in a shareholder-accretive transaction that reduced our diluted share count by approximately 15.5 million shares, all without increasing our net leverage. Looking at the rest of our 2025 maturities of approximately $640 million, which consists of ECA-backed loans, capital leases and other items that we can comfortably cover with our current operating cash flows. Looking ahead to 2026, we have just $1 billion in scheduled maturities, which we also expect to be able to service through organic cash generation. As a reminder, 93% of our debt is fixed rate, so movement in market interest rates will have minimal impact on our overall interest expense. Turning to leverage on Slide 14, I want to reaffirm that reducing leverage remains our top financial priority, as is maintaining a strong liquidity position. Net leverage temporarily increased to 5.7 times in the first quarter, reflecting the delivery of Norwegian Aqua at the end of March. Keep in mind that when we take delivery of a new ship, we also take the related debt onto our balance sheet; however, because our net debt to adjusted EBITDA is calculated on a trailing 12-month basis, that ship has not yet contributed any EBITDA, so our leverage calculation temporarily increases. That said, we continue to expect net leverage to decline steadily over the course of the year, improving to approximately 5.4 times in the second quarter and ending the year at approximately five times. This puts us firmly on track to achieve our 2026 target of reaching the mid-4s. With that, I’ll hand the call back over to Harry.
Harry Sommer: Thanks Mark. I’ll close today with a few reminders about the long term fundamentals of both our industry and NCLH. Cruising remains a highly compelling sector with significant runway for growth. It still accounts for just 2% of the global vacation market, yet offers a differentiated value proposition, multiple destinations, world-class service, and on-board entertainment all at a better value than comparable land-based vacations. Add in long bookings windows, rising consumer awareness and limited supply growth, and it’s clear this industry is set to outperform. At NCLH, I’m equally optimistic. We have clearly defined brands, a premium guest demographic, and the leading growth profile in the space. Our performance is underpinned by a proven algorithm supported by a transformational cost savings program. This makes our business model sustainable in the long term. We’re also backed by an experienced management team, a disciplined capital allocation strategy, and a firm commitment to strengthening the balance sheet and reducing net leverage. We believe those fundamentals will continue to drive strong shareholder returns. Despite the uncertainty in the macro environment and based on what we know today, we are reiterating our full year adjusted EBITDA and adjusted EPS guidance, underscoring our ability to perform and execute. We remain committed and on track to deliver all of our 2026 Charting the Course targets - this includes meaningful margin expansion, continued deleveraging, and record ROIC driven by our clear strategy focus and strength of execution. While the current macro environment presents its share of challenges, we remain confident and optimistic about the long term. We are managing the business with discipline, staying focused on what we can control, and maintaining a clear commitment to balancing cost efficiencies with guest experience. I could not be more proud of the dedication of our 41,000 team members, both shoreside and shipboard around the world, who bring our vision to life every day with their unwavering focus on performance and delivering results in all environments. I am confident we are charting the right course. With that, I hand the call back to our Operator.
Operator: Thank you. At this time, we will be conducting our question and answer session. [Operator instructions] Our first question is coming from the line of Matthew Boss with JP Morgan Chase. Please proceed with your question.
Matthew Boss: Great, thanks. Harry, could you elaborate on recent changes in the booked position for 2025 and early ’26, maybe just how this compares to historical levels, and then relative to customer behavior that you’ve seen in April, what exactly have you contemplated in your updated guidance for volumes and pricing over the balance of the year?
Harry Sommer: Thank you Matthew, and good morning. I think there are three questions in there, and I’ll do my best to remember all three of them. I’ll do it in reverse, because that’s how my memory works. In terms of customer behavior, listen - clearly we saw a little bit of choppiness, that’s what we’ve referred to it as, in the first part of April, mostly related to our Q3 itineraries, mostly related to our European Q3 itineraries, to be as clear as possible, with perhaps some hesitancy for Americans to do long haul trips during this environment. But I’m pleased to say that we’ve already seen return to normalcy, for example the week that we’re in now from a booking and pricing perspective is going to equal what we were doing towards the end of March, so it’s nice to see that this slow weakness, if you will, the short-lived weakness, if you will, or choppiness was relatively short-lived, and we’re very pleased with that. Listen, we’re not assuming any miracle or hockey stick in the back half of the year. We think perhaps this challenge with Q3 Europe will continue, but while maintaining a focus on price over occupancy, we believe that as demand returns back to normal, we are going to be operating from a position of strength. In fact, if you look at our implied guidance, we have by far the highest year-over-year price increases of the three major cruise lines that are out there. I’m not here to talk about the competition, but it’s a very healthy number for the back half of the year. I think the implied guidance is something like 4.5% at the midpoint of our guidance, which is really good, and it leads to a reasonably good yield as well, highest implied guidance for yield as well in the back half of the year, so hard not to be happy with that. Turning to ’26, we are right now from an historical perspective--go back to the normal years in the late teens, we are booked far ahead of where we were, say, in ’17, ’18, ’19, any of those three years individually or on a combined basis, and of course at higher prices than last year, which is always our goal, so we remain optimistic. I think there are some nuances that may have been lost in our commentary as I read some of the preliminary reports that came out this morning. Yes, Q3 Europe is an idiosyncratic thing which I’m going to come back to in a minute, but part of this shift in the booking curve is just a reflection of the fact that we have a lot more Caribbean itineraries in Q4. I think our Caribbean deployment is about 10 points higher in Q4 this year than last year, and those close-to-home and to some extent shorter itineraries - there’s some three, four and seven-day itineraries in that mix, naturally book closer and that’s not a weakness, that’s just a manifestation of consumer behavior which we expect, and which is why despite this, perhaps what you would call a slight decrease in forward-booked position over a 12-month period, I wouldn’t even refer to it as a softness, we continue to remain within the optimal booked position because that takes into account the situation with the Caribbean and the somewhat different booking curve. I just also want to talk a little bit about what we’re doing from a Europe perspective. If you go to 2026, we’ve actually shifted our deployment to be a little bit less reliant on Europe in ’26 versus ’25, and also we’re coming out with shorter itineraries, seven days, a lot more seven days versus 9 and 10, which we think has a couple of benefits. Number one, that shoestrings the booking curve a little bit closer in, which is good, so it allows us a further or a longer period to book these itineraries, it also lowers the price point. It also allows us having more comprehensive pre- and post-hotel stay programs which we believe will add to margin at the company without adding capacity days, so to speak, because we get the margin on the hotel stay separate from the margin we get from the cruise stay, while for example this year with lots of nine and 10-day itineraries, we had much fewer hotel stays. I think when you look at those things all together, I’m very bullish about both our current position and the future.
Matthew Boss: That’s great, great color, Harry. Maybe Mark, just to follow up, on historical lead indicators, have you seen any notable change with recent on-board spending, and then just on the cost side, if you could walk through flexibility with the cost structure, your ability to maintain EBITDA forecasts for this year, and just your confidence on the ’26 bottom line targets.
Mark Kempa: Great, good morning Matt. Listen, I think from an on-board revenue standpoint, we have continued to see very strong trends, both in Q1 and where we are month-to-date in April. It seems like once guests are on the ship, they’re very happy to spend and they continue to spend at solid levels, so we’re very, very pleased with that. In terms of the flexibility on the cost structure, I want to remind everybody, first and foremost we’ve always said that we’re not cutting costs just to cut. We have been taking a very targeted approach, an approach where we will not sacrifice the guest experience or the brand equity, and in fact since we started our program roughly 18 months ago, in most or all areas, our guest satisfaction scores have actually increased. We are focused on removing waste and gaining more efficiency out of the system, and we’ve been doing this for 18 months now, leveraging our transformation office. We’ve been gaining that muscle, building that muscle, and it’s really starting to pay off. As we’re seeing some potential pressures in the top line, we’re flexing that muscle. We’re simply doing things a little bit quicker than we had initially planned. We’re accelerating certain things in our supply chain system, we’re leveraging better commercial negotiations, we’re leveraging technologies, and in many cases we’ve actually increased the product on board the ships. All in all, we continue on our path. We’ve always said this was a $300 million-plus program, and we’re very firm on that target. We’re not going to stop at 300 - it’s 300-plus. In terms of your question on our overall 2026 targets, we feel very confident in our 2026 targets. We’ve said we have the ability to flex if there’s pressures on the top line, we’re flexing on the bottom line for any near term softness, and as we continue to gain and improve our margins, we firmly believe that we’re on a solid track to meet our 2026 targets.
Harry Sommer: If I could just add on for a second to Mark’s comments, which I think he did a fantastic job, I think the single biggest metric we can use to gauge guest satisfaction is the percentage of guests that book their next cruise either while they’re on the ship or the immediate aftermath of when they came in. I can report that across the NCLH level, we are at a record future booked position. If you look at the number of guests that cruised with us, for example in 2024, and how many of them have a cruise for ’25, or the guests that have already cruised with us in the first four months of ’25 and how many of them have a cruise on the books for ’26, those are all at record levels. I think perhaps more important than a specific guest satisfaction score or some other metric one may contemplate for guest satisfaction, that’s where the rubber hits the road, and if we can continue with those record numbers, it gives us absolutely the signals that we are focused on the right things. Mark made a very important comment that I just want to emphasize. This is not cutting for the sake of cutting, and this is not cutting the important things. I think Mark referenced the fact that we’re actually spending more money in certain areas, things like meats, proteins, fish, the things that really make a difference to our guests. We’ve actually increased our spend year-over-year in order to improve the quality, so. Despite that, there are so many efficiencies in the other areas - I mean, our favorite things are things like fuel, where I don’t think the guest cares how much we buy fuel for, as long as the ship gets them from Point A to Point B, which we’re very successful at doing - massive savings there, and in other areas like that.
Matthew Boss: All great to hear. Best of luck.
Harry Sommer: Thank you.
Mark Kempa: Thank you Matt.
Operator: Thank you. Our next question is coming from the line of Steve Wieczynski with Stifel. Please proceed with your question.
Steve Wieczynski: Hey guys, good morning. Harry or Mark, wondering if you could break--and I know you don’t like to do this, but wondering if you could break the brands down a little bit here. Can you maybe help us think about what bookings have looked like for the Norwegian brand versus the luxury brands? I guess what I’m trying to get at here is that your booking commentary in terms of mentioning choppiness seems a little bit different versus what we’ve heard from some of your peers, so trying to understand if this choppiness is more tied to your luxury brands versus the Norwegian brand, and then maybe help us think about the recent Oceania promotional work that you did around the remaining 25 sailings, and does this have something to do with the European issues that you called out, Harry? Thanks. I know that’s probably confusing.
Harry Sommer: No, no, very good, Steve. Thank you for the question. I’ll again do this in reverse order. I think all three brands are seeing pretty much the same booking patterns, some pressure on Q3 Europe, which perhaps is a slightly larger percentage of Oceania and Regent itineraries than it is for NCL, but really just limited to that. We’re very happy with the winter itineraries, even the winter exotic itineraries are doing very good for places like Asia, Africa, South America, Australia, etc., and the world cruise on the luxury brand, and ’26 is looking very well from a booking perspective as well, so no weakness luxury versus NCL. They all seem to be doing well, and all just seem to have this one Achilles heel. I think the thing about the Oceania promotion, I’ve seen bit of write-up on that as well, listen - we do promotions all the time. This promotion is not necessarily different in tenor and discounting. We keep price sacrosanct. I’ve already mentioned the fact that we have--we’re guiding towards a high 4, close to 5% price increase year-over-year for the back half of the year, which we think is fantastic. Obviously Oceania and Regent play a part in that mix and are helpful towards that, so I think this is a little bit of marketing packaging, if you will, in terms of reality in terms of discounting, and hopefully that comment is clear. Past that, I wouldn’t necessarily say--you’re right, we don’t give detailed guidance by brand, but I wouldn’t necessarily say that we’re seeing any difference between the three brands.
Steve Wieczynski: Okay, thanks for that, Harry. Then second question, you mentioned that on-board trends remain strong, that probably also assumes that close in demand has been strong as well, and I think Mark mentioned that, if I remember correctly. As we think about your revised yield guidance, is the difference in the yield guidance now versus back in February that challenges--you know, just strictly the challenges that you’ve called out around 3Q bookings, or are you assuming that there is some kind of change in on-board or close in demand? Then Harry, you mentioned the word choppiness, but it seems like you really said that was only tied to one week, so is that the way to think about it, that it was really just one week, or is there something else that we’re kind of missing there?
Harry Sommer: Well, I think two things - again, this will be in reverse order. It was more like two to three weeks. I wouldn’t call it one week, because there are four weeks in April and I’m talking about now the last week of April doing better, so I’d say it was more three weeks, if you will, of choppiness, though we started to see some recovery last week already and, as I mentioned before, more this week. I think--listen, there’s also a realization that it’s hard to read the future. Not to get political here, but it’s hard to know what’s going to happen in the tariff environment and other things, although tariffs don’t directly impact us. They do impact consumer sentiment, and it’s tough to read what’s going to happen in 30, 60, 90 days, so I don’t want to assume that every day is a perfect sunny day ahead, or every day will mirror, for example, the success we’re having this week. Just to come back to some of these comments, there is a difference between bookings and revenue, so yes, we’ve seen two to three weeks of challenging bookings, but you can hear our commentary, which should be loud and clear, that we have maintained price - you know, 4.6, 4.7% price increase year-over-year compared to last year in the back half of the year, when the back half of last year was spectacular from a pricing perspective as well, I think record price increases. We think it’s very strong paper and compares well to the competitive set. I can make bookings happen by lowering prices. When you look at our booking trends versus perhaps others, I think that’s just something to think about, not that I’m suggesting anything else is happening. I’m just saying that we are super focused on price, and if there’s two or three slower weeks in bookings that we can maintain price, we’re going to do it and we’re going to continue doing that in order to set us up for a foundation for a strong future. We actually even saw some of the competitive set do dollar deposits. Don’t know if you guys track that as well. Things like that, we’re not going to go into.
Mark Kempa: Hey Steve, then in terms of on-board revenue as we think about it going ahead, look - based on what we’re seeing in our trading patterns today, on-board revenue remains strong. We expect and we continue to believe it’s going to remain strong. As I said, once the passengers are on board, they continue to spend money, so as we look forward, we’re not anticipating any significant reductions in on-board spend. Obviously it’s always a variable, but we have not seen any sort of indicators on that front of any sort of weakening in the on-board side.
Steve Wieczynski: Okay, great. Thanks Harry, thanks Mark. Really appreciate it.
Operator: Thank you. The next question is from the line of Robin Farley with UBS. Please proceed with your question.
Robin Farley: Great, thank you. I just wanted to understand kind of what’s on your books going forward - you mentioned preserving price and the booking volume being in line. Can you tell us a bit about what price on the books is on a year-over-year basis, and I ask because looking at the advanced ticket sales being up high 2%, maybe rounding to 3%, but your capacity for the year is up 5%, it’s up 8% in the second half, so just trying to think about what price looks like on a year-over-year basis, what you actually have on your book. I understand you’re guiding it to be up quite a bit, but just kind of wondering what you have already. Thank you.
Mark Kempa: Good morning Robin and thanks for the question. I think the first comment is when you think about ATS being up 3%, 4% and capacity is up 5%, part of what you’re seeing is-- remember as we’re shifting into more closer to home itineraries, both in Q4 and then 2026, that will have an impact on our ATS. Obviously we all know that that’s a shorter booking window and tends to book closer in, so nothing surprising there. I think as we look forward, I think the core question is where is our load and where is our pricing today, and I think we’ve been very, very clear that as we look forward, our pricing is up. As we look at our load factor, it is in line with historical ranges, and as Harry said, what we’re seeing is we’re seeing a little bit of choppiness on rounding out that Q3 European destination. As we look at where we are in our overall booking curve, we remain in our optimal range, we’re just seeing some slight volatility in rounding out that Q3 European. Things continue to look healthy. There is a little bit of uncertainty out there, but as Harry said, we’ve seen an uptick in the last week, week and a half, and that’s very encouraging for us.
Robin Farley: Okay, great. Thank you. Maybe just as a follow-up, you mentioned you have more Caribbean in the second half, so booked closer in, so in theory optimal range would mean that your volumes are down in terms of visibility for that period. I know there’s still a lot of time to go between now and fall Caribbean, but are you seeing--it feels like historically, that’s sort of where the industry would tend to see softness, not so much peak European summer, so just wondering how that fall Caribbean, understanding that there’s more of that, it books closer in, but just what you’re seeing with the consumer booking for that period and that product. Thanks.
Mark Kempa: Yes, I think first and foremost, you’re absolutely correct - we do have less visibility in that product. But what I think you’ve seen from the industry and particularly the Fun and Sun itineraries is that those continue to remain strong. We’ve seen that both in Q4 of last year and more recently Q1. Close to home cruising is doing well, and we believe it will continue to do well as we go forward. We’re attracting lots of new to cruise, new to industry, and I think those markets are perfect to cater to that. I think what we’re seeing is--you know, Americans seem to be a little bit more comfortable staying close to home, given what’s going on in the macroeconomic environment, so that’s where we’re seeing a little bit of slight volatility on rounding out that Q3 European destination. But all indicators from what we’re seeing, Q4 and the closer to home itineraries continue to build well, and we expect them to do well.
Harry Sommer: Yes, we also have a little bit of a tailwind with the announcements we made on our enhancements to Great Stirrup Cay, which go live in mid-November. You’re right, Robin - sometimes Q4 Caribbean isn’t as strong as we hope, but we think that this gives us a unique tailwind for this year.
Robin Farley: Great, thank you very much.
Harry Sommer: Thank you Robin.
Operator: Thank you. The next question is coming from the line of Ben Chaiken with Mizuho. Please proceed with your question.
Ben Chaiken: Hi, good morning. Thanks for taking my questions. Switching gears a little bit, all the pricing commentary is helpful, but how do you think about the ROI of the investments you’re making in Great Stirrup Cay? Are these investments you believe are marketable and can drive price, and I guess related, should we expect more marketing of the island over the next 12, 18 months? I guess I ask that in a question of customers who historically have not always reached the island on a regular basis, so curious how you balance that dynamic. Thanks.
Harry Sommer: Again, to answer your second question first, we absolutely are going to market Great Stirrup Cay more, not only in the next 12 to 18 months, in the next 12 to 18 days as we’ve now made the announcements and we believe we have a much more competitive product, both because there’s more things to do and also with the pier. As you mentioned, we’re going to have close to 100% success rate of actually visiting there, so we’re very excited about that and we are eager to get the word out, and so we will. In terms of ROI, listen - we have long term ROI goals, we’ve talked about them in terms of our Charting the Course, and clearly the investments in GSC have to meet or exceed that threshold or we wouldn’t have made it, and we believe they will. We absolutely believe it makes it more marketable, we absolutely believe that it can drive price on the cruise and actually also drive on-board spend, so to speak, or spend on the island. I’ll remind you that with these improvements, we’ve talked in the past that we’ll go from about 400,000 guests visiting her year, which I believe was what we did last year, to over a million guests visiting her next year and it will only grow from there, which considering we move somewhere between 2.5 to 3 million guests a year, it’s a sizeable percentage of our overall guest count will visit GSC.
Ben Chaiken: Got it, that’s helpful. Then one broader ’26 question, if I may, as you mentioned, Harry, there’s greater Alaska and Africa and Asia capacity, which lowers occupancy this year in 2Q, 3Q, and there’s a mechanical headwind to yields. As you think about the greater mix of Caribbean and Fun and Sun next year, is that a yield tailwind under the context that occupancy is higher, or do those Fun and Sun itineraries have a lower relative price, thus netting out the yield benefit one would get otherwise from greater occupancy? Curious how you think about those two opposing forces, if that makes sense. Thanks.
Harry Sommer: Yes, I think you’re thinking about it right, but we still believe the net of that is going to be a yield tailwind if you net those two things together, and we’re excited about that. But in addition to being a yield tailwind, it’s also going to be a cost tailwind because the cost to operate those itineraries--I mean, you think about the logistics of shipping food for a 3,000 passenger ship to places like South Africa or Argentina or Asia, or places like that, so it’s really a double benefit, a modest yield tailwind, and actually a real cost tailwind.
Ben Chaiken: Got it, understood. Thank you.
Operator: Thank you. The next question is coming from the line of James Hardiman with Citi. Please proceed with your question.
James Hardiman: Hi, good morning. Thanks for taking my question. I wanted to connect the dots on maybe a couple comments that have been made so far. I think in the prepared remarks, there was some reference to the idea that 2025 guidance assumes that whatever choppiness you’ve seen stabilizes as the year progresses. I guess my question is stabilizes from what, right - we’ve talked about the idea that--and I think everybody can appreciate that the [indiscernible] around Liberation Day, that was maximum uncertainty and fear, but that things have gotten better since then. I guess do we still need trends to improve from here, and I can also appreciate that it’s difficult to extrapolate the last week into the rest of the year, but if the current run rate is the sustained, is that enough to get to your numbers for the year or do you need continued improvement from the most recent data that you’ve seen?
Harry Sommer: Really good question. It’s something we think about a lot, as you might imagine. Listen, I think I mentioned in the response to a previous question that this current week that we’re in looks like it’s going to about match the last week of March, which actually is a tailwind because this time of year is usually a little bit slower than the last week of March, the last week of March still being within wave and this period being more traditionally slower summer period, so we’re actually a bit encouraged by that. But James, I would never extrapolate from one week of bookings to the rest of the year - that’s a little bit of wishful thinking. That being said, if the current pace and pricing continues, we absolutely will hit our guidance for the year. I don’t think we would have suggested our guidance for the year if we didn’t believe that it was achievable. I think our concern, as we talked about before, is it is difficult to tell whether the current conditions are going to continue or not. I’ll leave it at that.
James Hardiman: That’s really helpful. Then I guess maybe a similar question as we think about 2026, I think a lot people on this call are much more focused on ’26, which I think is fair, and I guess whether--what the takeaway should ultimately be as we think about adjusting 2026. Maybe the answer is we haven’t seen enough of anything to adjust ’26 at all, but maybe as I think about what you’re seeing for 2025, right - higher price, lower occupancy, net-net slightly lower yields but better costs. Is that how we should be thinking about 2026 as well, or is it way too early to really draw much of any conclusion on ’26 relative to a couple of months ago?
Harry Sommer: Yes, I think it’s a little early. Of course we are buoyed by the fact that our booked position, as I mentioned prior, is well ahead of historical averages when we look at ’26 compared to, say, years like ’17, ’18 and ’19, which we considered to be a pretty good time in this industry, so to be ahead of that--you know, we started April ahead, we ended April ahead, it didn’t really move that significantly one way or another in terms of the lead during the month of April, so we are buoyed by that. But to draw conclusions on the full year based on a few week booking pattern is a little bit difficult, but I think we have enough visibility to confirm, as Mark had earlier in the call, that our Charting the Course targets for ’26 are real, obtainable, and we are very confident that we can achieve them.
James Hardiman: Got it, that’s helpful. Thanks Harry.
Operator: Thank you. Our next question is coming from the line of Conor Cunningham with Melius Research. Please proceed with your question.
Conor Cunningham: Hi everyone, thank you. Just on the--I know you’ve talked about bookings a lot, but when a soft patch does happen, how does your inventory management velocity change at all? You talk a lot about being at the optimal booked position, but does this--does an environment like this make you look at that in general and just how you may put out inventory to folks in general? Just any thoughts on how that may change, thank you.
Harry Sommer: To the question, Conor, I hate to get too granular on these calls, so I’ll try to keep this at a high level, although it’s certainly a granular question. Listen - clearly over this last three-week period, we did look at our revenue management techniques. I meet regularly with our heads of revenue management across the three brands to discuss at a high level what we did or what we should do, and clearly we’ve made a few changes. But this pricing integrity, you know, it’s not just a cliché. We are super focused, especially for the further out periods - Q4, Q1, summer of ’26 to maintain price integrity, so while yes, we did do a little bit of close-in discounting for Q3 around this problem areas of Europe, as we described, super passionate about keeping price integrity because, as Mark mentioned in his prepared comments, that provides us with a solid foundation for growth as things start to return back to normal.
Mark Kempa: Conor, keep in mind we have a lot of tools in our arsenal that we go to before we really hit price. With our bundling packages, it’s all about value and what we’re giving the customer, so we tend to flex those in and out, which is a normal course part of our business. Certain pricing promotions, they tend to happen in very small pockets, very isolated need sailings.
Harry Sommer: I’ll also point out, and I don’t think anyone asked this question along the way so I’ll volunteer an answer, we are not cutting our marketing spend; in fact, we are increasing our marketing spend, and the guide that we provided of the zero to 1.25% year-over-year NTC cost increase assumes a higher marketing budget than we would have normally done in our base case, as Mark mentioned, as one of our levers in order to increase demand and keep pricing at the levels that we’d like to see.
Conor Cunningham: Ironically, that was my next question, just on marketing.
Harry Sommer: I read your mind!
Conor Cunningham: Maybe you could talk about it a little bit different. Marketing’s up, obviously, and then Mark, you’ve talked a lot about the cost efficiencies. It’s not entirely clear where those adjustments on cost are coming from as marketing increases, so if you could just maybe double-click a little bit on what’s going on, on the cost side, where you’re seeing a lot of success in general. Thank you.
Mark Kempa: Yes Conor, look - as I’ve always said, it’s system-wide. It’s not--we’re not cutting product on the ship, we’re actually increasing product. What we’re doing is we’re eliminating waste and we’re gaining efficiencies, that is system wide, both whether it be on our ships but also on our back office systems. As I said earlier, I said we are really starting to leverage our new commercial capabilities out of our supply chain management system. We’ve really made big strides there. Those are things that do not impact the customer. We’ve really made big strides on our commercial negotiations around there, but also technology - you know, we’ve made some soft minor technology investments that are really allowing us well to gain more efficiencies on the back end, on the back office. Again, everything we’re doing, it’s all around the margin, all with the lens of not impacting the guest experience, and in fact we’re focused on increasing the guest experience as I said earlier, and that’s testament to both our guest satisfaction scores as well as our cruise next increased certificates. It’s a lot of little things, Conor, but as we gain the muscle, we’re able to execute faster and still maintain that philosophy of not impacting the guest but providing more to the guest in many cases.
Harry Sommer: Donna, we have time for one more question.
Operator: Thank you. Our final question is coming from the line of Brandt Montour with Barclays. Please proceed with your question.
Brandt Montour: Good morning everybody, and thanks for taking my question. You covered a lot of ground so far this morning. I’m wondering, Harry, if you double-click on Europe, which you do keep coming back to that, we kind of can get the messaging that Europe is where you’re seeing the most acute challenge. Why do you think there’s American hesitation to go to Europe this summer, when you’re not seeing any hesitation for Americans to go elsewhere around the world? Is it just a supply and demand issue in Europe particularly, but maybe you can touch on a little bit more about the American hesitation.
Harry Sommer: It’s a really good question, and I wish I had a better answer for you, Brandt. I don’t want to pontificate or make things up. All I can tell you is what we’re seeing. I don’t know what to say. I don’t, Mark, if you have any color on that, either?
Mark Kempa: Look Brandt, as we’ve said, it’s about rounding out the European product. We have a very good base of business there on the books, we have good load factors there, but it’s about rounding out those last few percentage points of load. Best we can see is that consumers going on those little bit of a longer haul trips are possibly a little more hesitant at this stage, and we’re not seeing that in other markets but we are seeing that in the rounding out of European itineraries, it’s coming from the North American customers, so that’s the best we can see. I think it’s just generally related to the larger macroeconomic uncertainty that’s out there.
Brandt Montour: Okay, that’s helpful. Maybe a supply issue there. Okay. My second question is a follow-up on that--
Mark Kempa: Brandt, I would hesitate. I don’t believe it’s a supply issue. I think those are two different things, supply issue versus maybe some consumer hesitancy. I want to make that very clear before you go onto your next question.
Brandt Montour: Appreciate that, Mark. Fair enough. The follow-on would just be Europe into ’26, you know, it’s a far away time frame for Americans to book summer 2026, but not necessarily for your luxury brands. Those folks are older, they book further out, these are more expensive itineraries, and you would expect to see those--you’re moving into a core booking season for ’26 or thereabouts for those customers now. I guess the question is, is that something--are you seeing hesitancy for Americans to go to Europe for summer ’26 already or is it just too far out, or are people saying we’ll book ’26 now because we’re not worried about what’s happening in the macro now, because it’s just far enough away that we can go ahead and book?
Harry Sommer: I think there are three answers I can give. The short answer is no, we are not seeing any challenges with Europe ’26. The medium answer is, listen, the first week of April was not a great week anywhere, but taking that week or the week after out, we’re back to normal booking patterns for next year that we’re happy with, and our booked position is doing well, similar to the rest of ’26. So no, we’re not seeing any challenges--to go back to my original answer, not seeing any challenges there.
Brandt Montour: Excellent. Thanks everybody.
Harry Sommer: With that, I want to thank everyone for joining us today. I just want to reiterate that we’re super focused on our long term strategy. We are not going to do anything that will eat into all the progress we’re making on things like our new ships, our on-board products, our deployment patterns, our investment in GSC, our improvements to our brand. All these things are alive and well and have tremendous tailwinds for the future. We’re very excited about Q4, Q1, all of ’26, and we look forward to welcoming you all to the Allura when she inaugurates later this year, and to continuing our dialogue. Thank you all very much.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s teleconference and webcast. We thank you for your participation, and you may disconnect your lines at this time.